Operator: Hello and thank you for standing by. Welcome to the iHeartMedia Q1 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session and instructions will be provided at that time. I will now turn the conference over to Mike McGuinness, Head of Investor Relations. Please go ahead.
Mike McGuinness: Good morning, everyone, and thank you for taking the time to join us for our first quarter 2023 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations, and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings. Additionally, during this call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation and our SEC filings, which are available in the Investor Relations section of our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike, and good morning everyone. We're pleased to report that our first quarter 2023 results were little above the high-end of our adjusted EBITDA and revenue guidance ranges. More importantly, while both the macroeconomic climate and the advertising marketplace remain uncertain, the advertising market was a bit stronger in the quarter than we had initially anticipated. Additionally, we expect that our second quarter adjusted EBITDA, while still below 2022 levels, will be approximately double what we generated in the first quarter. The second quarter outlook in combination with our first quarter performance relative to guidance gives us confidence that our adjusted EBITDA results will continue to improve throughout 2023. And if this advertising market recovery trend continues in 2024, we expect to resume our growth trajectory that was interrupted by this period of advertising softness. Rich will provide additional thoughts on our forward-looking estimates during his remarks. With that backdrop, let me take you through some of the key financial results of the quarter. In the first quarter, we generated adjusted EBITDA of $93 million, slightly exceeding the guidance range we provided of $80 million to $90 million. Our consolidated revenues for the quarter were down 3.8% compared to the prior year quarter, a little better than the guidance we provided of down in the mid single digits. Our free cash flow for the quarter was negative $133 million. As a reminder, Q1 is seasonally our lowest free cash flow quarter of the year, and we will generate positive free cash flow in each of the remaining quarters in 2023. Finally, operating expenses remain a strong focus of ours, and we continue to adjust our operating structure to drive additional efficiencies, and you'll see even more of that in Q2. And we're also continuing to explore using AI to substantially transform our operating structure in cost base over time. Turning now to our individual operating segments. In the first quarter, our Digital Audio Group revenues were $223 million up 4.3%, versus the prior year quarter, adjusted EBITDA was $54 million up 3.1% versus prior year, and our Digital Audio Group adjusted EBITDA margins were 24.2%. As we said on our last call in 2022, we have made changes to certain sales initiatives and commission structures, which had a negative impact on our Digital Audio Group margins in Q4. Those changes were reversed at the end of 2022. And while we saw some of those negative effects continuing through our first quarter results as we anticipated on our last earnings call, we are confident that our second quarter flow through will be back on track. Within the Digital Audio Group, our podcast revenues, even in this slow ad market grew 12% versus prior year, and our digital ex-podcast revenues grew approximately 1% versus prior year. In terms of audience reach, in March, iHeart was again ranked the number one podcast publisher in the U.S. with more monthly downloads than the next two largest podcast publishers combined according to Podtrac. Three data points further illustrate the tremendous opportunity we have in podcasting. First, over 60% of Americans have now listened to a podcast according to Edison, making it one of the fastest growing mediums ever. Second, podcasting now reaches more consumers every month than the biggest streaming music service. And third, there are now more weekly podcast listeners in the U.S. than Netflix subscribers. In the investor deck, we've included some new slides that show the growth in daily reach and time spent among podcast users since 2015. Additionally, you'll see a slide that shows where podcasting is drawing its listening from spoiler alert of those surveyed, 70% said they replaced time spent with social media platforms, 50% said they replaced time spent with YouTube, and 46% said they replaced time spent with streaming music services. And most important, not much podcast listening was drawn from broadcast radio listening, illustrating the truly complementary nature of broadcast radio and podcasting. These trends are significant because advertisers and their marketing dollars follow consumer usage. Indeed, according to a recent advertising perception poll, 60% of marketers, who invest in audio, plan to increase their podcast spending in 2023, a reflection of podcasting strong performance and upside potential with advertisers. Also, as we mentioned last quarter, we continue to see positive changes in the podcasting industry specifically as it relates to content cost. While some podcast publishers had chased uneconomic deals that drove up content cost across the podcasting marketplace, we're now seeing a reversal of this trend. We think this return to rational economic behavior across the marketplace is good news for iHeart and good news for the podcasting industry as a whole. And finally, I remind you that at its core, podcasting is an adjacent and truly complementary business, the iHeart's broadcast radio assets, which gives us a natural advantage in podcast content creation, promotion, marketing and advertising sales as you can see in our consumer engagement revenue and profitability metrics. We've included a new slide in the investor presentation that shows that 68% of broadcast radio listening happens out of the home and that 69% of podcast listening occurs in home, clearly illustrating that broadcast radio and podcasting are complementary and mutually additive businesses in terms of consumer usage. In addition to our industry-leading podcast business, we also have the number one streaming radio service, which is 5x larger than our closest competitor. We have the largest social footprint of any audio service by a factor of seven, and we operate 3,000 national and local websites that reach almost 150 million people in the United States alone, all of which represent additional opportunities for our marketing partners to interact with our highly engaged consumer base. Let's turn now to our Multiplatform Group, which includes our broadcast radio, networks and events businesses. In the first quarter, revenues were $529 million, down 7.4% versus prior year, adjusted at EBITDA was $87 million, down 35% versus prior year, and our Multiplatform Group adjusted EBITDA margins were 16.5%. The Multiplatform Group was impacted more than the Digital Audio Group by some of the advertising softness we saw in the first quarter. However, we see this softness as being directly tied to the uncertain macro environment, and we have great confidence in radio's continued importance to both consumers and advertisers. To give that some context, in this period of softness, broadcast radio's performance relative to the performance of the large digital companies has been significantly better than it was during the 2020 advertising downturn. We think that is validation of our technology and data investments to make our broadcast radio assets more like digital for our advertisers leading to stronger revenue growth potential. And as we look at overall advertising revenue potential, today our broadcast radio assets reach over 90% of Americans every month and actually reach more people than Facebook and Google in the United States. That strength with consumers also supports our conviction that broadcast radio will continue to have long-term sustainable revenue growth. Remember, advertising follows the consumer and consumers are on the radio and are staying on radio unlike the substantial consumer declines experience by newspapers, magazines, and linear TV. For example, the CBS Television Network, which is currently the largest linear TV network, according to the latest Nielsen ratings, has seen its consumer reach cut in half since the early 2000s. While over that same 20-year time period, iHeart's broadcast radio consumer reach has actually grown slightly and now reaches more than twice as many people as CBS. Before I turn it over to Rich, I want to leave you with this final thought. Rich and I and our entire management team remained laser focused on identifying and targeting revenue growth opportunities while aggressively managing our expense base. And with the actions we’ve taken over the past few months and a presidential election year ahead, we believe we’ll see a ramp up in our performance throughout 2023, leading to a strong 2024 and beyond for iHeart in terms of revenue growth, profitability, and free cash flow generation. And now I’ll turn it over to Rich.
Rich Bressler: Thanks, Bob. As I take it through our results, you’ll notice that as Bob mentioned, we slightly exceed our previously provided guidance for the quarter. Our Q1 2023 consolidated revenues were down 3.8% year-over-year, compared to the guidance range we provided of down in the mid-single digits. Our consolidated direct operating expenses increased 4.3% for the quarter, driven primarily by the increase in digital revenue, which drives higher content and profit sharing expenses, increased third-party digital costs due to the short-term concentration of lower margin revenues we discussed earlier, as well as additional cost incurred in connection with the execution of some additional cost reductions we made in Q1. To look ahead for a moment, we expect our second quarter direct operating cost to be down slightly year-over-year, excluding the impact of restructuring costs. Our consolidated SG&A expenses increased 4.8% for the quarter, primarily driven by investments in key growth areas like podcasting, certain credits which benefited the prior year quarter, as well as additional cost incurred in connection with the execution of some additional cost reductions we made in Q1. We generated first quarter GAAP operating loss of $49 million, compared to operating income of $12 million in the prior year quarter. Our first quarter adjusted EBITDA was $93 million, compared to $145 million in the prior year quarter, and a little above the high end of the guidance range we provided of $80 million to $90 million. Turning now to the performance of our operating segments. And as a reminder, there are slides in the earnings presentation on our segment performances. In the first quarter, Digital Audio Group revenues were $223 million, up 4.3% year-over-year, and they comprised approximately 28% of our first quarter consolidated revenues. Digital Audio Group adjusted EBITDA was $54 million, up 3.1% year-over-year, and our Q1 margins were 24.2%. Within the Digital Audio Group, our podcasting revenues grew 12% year-over-year, and our non-podcasting digital revenues grew approximately 1% year-over-year. As we mentioned in our last earnings call, in Q4, we had increased our emphasis on certain incremental revenue streams through sales initiatives and commission structures, which resulted an unintended negative impact on our digital adjusted EBITDA margins in Q4. We have corrected the issue. And although there were some lingering impacts on Q1 margins, it will not be an issue by the second quarter. We expect our digital business to get back to our normal EBITDA flow through starting in Q2, and we continue to believe our Digital Audio Group will be a 35% adjusted EBITDA margin business. Multiplatform Group revenues were $529 million, down 7.4% year-over-year. Adjusted EBITDA was $87 million, down 35% year-over-year, and adjusted EBITDA margins were 16.5%. These margins reflect a high operating leverage nature of the Multiplatform Group revenues with the vast majority of the revenue declines dropping directly to EBITDA. In addition to certain credits which benefited the prior year quarter, and impacted the year-over-year EBITDA decline. We expect our normal flow through to resume in Q2. Audio & Media Services Group revenues were $61 million, up approximately 1% year-over-year, and adjusted EBITDA a was $15 million, down from $16 million in the prior year. At quarter end, we had approximately $5.2 billion of net debt outstanding, and our total liquidity was $601 million, which includes a cash balance of $188 million. Our quarter ending net debt to adjusted EBITDA ratio is 5.8 times. Although we can’t predict when the advertising marketplace will fully recover from this period of softness, we remain committed to our long-term goal of net debt to adjusted EBITDA ratio of approximately four times. As highlighted on past calls, we have no material maintenance covenants and no debt maturities until 2026. In the current macro environment, this type of debt profile positions us to be both resilient and opportunistic in responding to debt market development. In Q1, we proactively repurchased $20 million of the principal balance of our 8.375% [ph] senior unsecured notes, which brings our repurchase total to $350 million and results in an aggregate annualized interest savings of approximately $30 million. We were able to repurchase these notes in the market at a meaningful discount to their par value generating both earnings and free cash flow accretion. We will continually monitor market conditions and we’ll look to further improve and optimize our capital structure as opportunities arise. In the first quarter, we generated negative $133 million of free cash flow. As a reminder, the first quarter is always our lowest free cash flow quarter in part because the first quarter is our smallest revenue and adjusted EBITDA quarter for the year as is for most media companies. As Bob mentioned earlier, we expect to generate positive free cash flow for each subsequent quarter in 2023. I want to turn now to our outlook for Q2 as well as some thoughts on the full year. We expect our Q2 2023 revenues to be down mid-single digits year-over-year and down low single digits, excluding the impact of political revenue. Looking at our segment revenues individually, we expect the Multiplatform Group to be down high single digits, the Digital Audio Group to be up mid-single digits and Audio & Media Services to be down high single digits or down low single digits, excluding the impact of political. In the month of April, our consolidated revenues were down approximately 5% year-over-year. Turning to adjusted EBITDA, the Q2 2023, we expected generated adjusted EBITDA in the range of $180 million to $200 million. Let me provide some updated assumptions regarding cash. While we initially expected to be a full cash taxpayer in 2023, we have since implemented tax planning initiatives that we expect will reduce our 2023 annual cash tax payments and now expect to pay between $25 million to $30 million of cash taxes in 2023. We now expect our full year 2023 capital expenditures to be approximately $90 million below our previously provided guidance of between a $100 million and $120 million, which was already a significant year-over-year reduction from $161 million in 2022. We expect our cash restructuring expenses to be down dramatically year-over-year. We continue to be impacted by the current interest rate environment as approximately 40% of our debt is floating. But we remain committed to further opportunistically improving our capital structure and reducing our interest expense as the market allows. I just want to reiterate Bob’s comment on our outlook for the company as we move forward. Assuming a continued improvement in the advertising marketplace, we believe that our Multiplatform revenues will continue to recover and that our Digital Audio Group revenues will continue to grow throughout 2023. This second quarter outlook in combination with our first quarter performance relative to guidance gives us confidence that our adjusted EBITDA results will continue to improve throughout 2023. And if this advertising market recovery continues, in 2024, we expect to resume our growth trajectory that was interrupted by this period of advertising softness. I hope this extended guidance helps to paint a clear picture of the company’s future as we see it. We remain committed to driving shareholder value through our rigorous allocation of capital, identifying additional cost savings opportunities, utilizing new technologies to expand our product offerings and improving our operational efficiency. And finally, on behalf of our entire senior management team, Bob and I want to thank our team members, who work to deliver for their communities and for iHeart every day. They're the engine that drives our company. Now we'll turn it over to the operator to take your questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Jessica Reif Ehrlich with Bank of America Securities. Please go ahead.
Jessica Reif Ehrlich: Thank you. Good morning everybody. I guess two questions. I guess the first is on your April, your comments on April revenue down 5% versus down 4% in Q1. I don't know what you can say about May. It seems like there's very little visibility, but it – and I heard what you said about the long-term outlook. I'm just wondering if there's – if you think the things are getting a little bit, maybe marginally worse, and then it's obvious – I'm saying the obvious, but there's probably the most challenging macro and secular challenging environment that you've had in a – I don't know, a really long-time when competition isn't going away. You've explained some of the margin challenges, but they are down and you've already aggressively cut costs. I'm just wondering like what else can be done. You explained the margins on the digital side. Do you just need a recovery in revenue? Or is there more to do?
Rich Bressler: Hi, Jess. It's Rich. Thank you. So let me start a couple things. I'm sure Bob will jump in too. The picture we portrayed, we said April was down 5%, but then also reading on that we said ex-political, we expect the rest of the quarter to get down to be down low single digits. So I think we've seen – we are seeing – what we think is a slightly improving trend. And I think if you go back to Q1, what we said in the beginning of Q1 for the first month, we expected to see a trend, particularly with national advertisers, excuse me, who went through the quarter. I think Bob said in his earnings script that it was slightly better the advertising environment that we thought and I think our guidance in Q2, quite frankly, continues to reflect that. And when you look at the margin question back to your overall, yes, we've taken a significant amount of cost down. And by the way, quite frankly, as we said, just taking advantage of the capital expenditure just we've made, taking advantage of efficiencies, dramatically reducing our real estate footprint. And yes, margins are down in Q1, and you referred to digital, but just to go back to what we talked about as we left Q4 again to frame the reference that we had – as we went in – as we did in Q4, we had emphasized some revenue that was lower margin revenue. We said that, that we were going to change a number of our initiatives and commission structure that was going to take us not just Q4, but Q1 to work through that reiterated that here. And we said we expect to be fully – that to be fully behind us when we get to Q2. And we expect, when you think about modeling, we fully expect the digital business to be 35% EBITDA margins. And if you just look at our overall guidance for Q2, the $180 million to $200 million of EBITDA, there's a lot of pieces to the revenue numbers, but I think you just kind of do the math. You get from like $811 million of revenue in Q1 to about $905 million, $906 million in Q2. Again, just doing the math that we gave out as general guidance and then I think you see some pretty significant margin improvement there. And as a reminder, Q1, and I repeat this above and I repeat this often, is our smallest quarter of the year. So you get the lore of small numbers when you're computing EBITDA margin.
Bob Pittman: I would add some. Just let me jump in on your issue about secular competition. I think we are – when we look at both the consumer and the advertising, I think we're pretty pleased with the progress we've made on a relative basis in the competitive marketplace. Radio has just held up extraordinarily well, and you've seen some of the charts we put in this time just to show where the usage of podcasting is coming from. And it's not really coming from radio, it's coming from streaming music, it's coming from YouTube and it's coming from social primarily, which I think is very good news for us. And I think on the advertising side, and by the way on the radio side too, the reach continues to be rock solid on radio and at a time when linear TV and others have declined precipitously as I mentioned in the comments. On the advertising front, again, I think the investments we've made in making our broadcast radio more like digital offerings has really paid off. And we've commented a little bit about comparing this to the last downturn in 2020. If you go back to 2020, I think Multiplatform Group in that first quarter was down something like 50%, and I think the next quarter was 30%. And the fourth quarter was 22%. I think Multiplatform Group was down almost 30% for the year. Whereas this year in this downturn, Multiplatform Groups down 7%, much, much closer to the other digital company – to the digital companies and I think a market improvement on a relative basis. So again – and we would point to again the idea that we are going – we were taking that broadcast radio, adding technology and data, making it more like a digital offering and I think, again, we're seeing traction with that.
Jessica Reif Ehrlich: Thank you.
Operator: Your next question comes from the line of Steven Cahall with Wells Fargo. Please go ahead.
Steven Cahall: Thank you. Maybe first was just hoping to dig into the ad market a little deeper. I was wondering if you could contrast trends you're seeing in multiplatform versus digital and maybe even within digital podcast versus non-podcast. I'm sort of specifically thinking about categories. I've heard that auto is coming back pretty strongly in local. So would just love to take your commentary about what outperformed expectations and maybe some of those categories and how they're trending across your different channels.
Bob Pittman: Well, let me hit the high level that we do think the ad market. We're probably seeing a slightly better marketplace than we had expected. And our expectation based on what we see today is that it's going to continue to get better through the year. I think also major advertisers, we felt we're holding back trying to put away some money for the year in Q1. We think that as the year goes on, and especially as you get to the biggest sales quarter for most companies, which is Q4 that – again that money begins to flow. And we're seeing evidence of that happening. I think in terms of categories I think you're right about auto. We are seeing strength there. We're seeing strength in a couple of other categories that are a little unexpected. But again, I think that's going to the point that the advertisers realize that advertising works. The lesson they learned and a hard lesson to learn in the 2020 downturn is that if they stayed out of the marketplace, it actually cost them more to get back in when things turned off. And hopefully that's a lesson that is moderating the impact of this downturn.
Rich Bressler: Hi, Steven, and the only thing I might add, you'll normally and you've heard us consistently talk about that we've got no individual advertiser more than 2%, and no category more than 5%, but actually slight modification to that. And I think this is good news and builds upon, what Bob said, is actually auto and now financial services are slightly more than 5%. And again, I think, it goes back to Bob's point about having strength and even strength where we haven't had it recently in terms of advertising categories.
Steven Cahall: Great. And then a couple more kind of on the housekeeping side. Rich, you said you expect digital margins. I think to get back to that 35% range. I wasn't sure, was that a Q2 guidance commentary or was that just a little bit more general? And then also on the cash side, do you have an outlook for cash interest at this point? Or should we just do our best estimates based on kind of the rate curve?
Rich Bressler: So two takes. On the EBITDA margin – and thank you because I probably wasn't as clear as I could have been. I expect to get back in the longer term, the 35% EBITDA margins for the DAG Group, Digital Audio Group, but you should expect to see significant improvement in the DAG margin from Q1 to Q2. In terms of free cash and just to reiterate what we said earlier, because I do think it's significant for the rest of the year and make sure everybody focuses on it. We've talked about our cash taxes for the year being dramatically down being in the $20 million to $30 million on a full year basis for 2023, significant reduction our capital expenditures from 110 they were – previous guidance of $110 million to $120 million, down to $90 million. For this year, just as a reminder, of – over the last couple of years we've actually been $160 million of capital expenditures, so significant reduction there. And you should think about our cash interest expense being about $390 million overall for the year.
Steven Cahall: Great. Thank you for all that color.
Rich Bressler: Thanks, Steve.
Operator: Your next question comes from the line of Dan Day from B. Riley Securities. Please go ahead.
Dan Day: Yes. Good morning guys. Thanks for taking the questions. So we've heard recently a lot about the discrepancy between large and small markets from some other radio station groups and then national versus local. Maybe just if you could share what you're seeing, you got a more diversified footprint, whether these larger NFL cities are underperforming the ones outside the top 50, and then just any differential between national versus the SMBs. Thanks.
Bob Pittman: Yes, the issues we've seen has been more of the businesses that have to advertise to get the cash registering tomorrow. They've tended to be stronger and more persistent advertisers that had the luxury to say, yes, I'm building my brand, but if I don't build it so much this month, I'll pick it up next month or whatever. I think you've seen that has been where you've seen a little slower. As we said earlier, I think, and again we sort of don't look at it as national or local or big markets or small market, look more at sort of what's the mix of the particular advertisers. And I – again, our expectation is that those large advertisers continue to come back into the marketplace because they are going to be building up to bigger and bigger sales quarters for themselves, and they will have to enter the marketplace. I think Q1 because it's such a slow sales quarter for most companies, people do have the luxury to hold back then.
Dan Day: Thanks, Bob. And one more from me. So you've put out a bunch of press releases on new podcast partnerships over the last couple of months. You have talked in your prepared remarks about sort of rationalization of this market with a lot of the bigger guys pulling back. Just wondering if you could maybe compare and contrast the terms at which you're getting these partnerships today versus one or two years ago, whether there is meaningfully better economics and whether there is just the nature of the deals, whether who owns [indiscernible] of the ad dollars, et cetera, et cetera, whether that's change at all and whether the economics are getting any better for you.
Bob Pittman: It's interesting. We have always held to good economics and podcasting. We refuse to do uneconomic deals delivered on economic deals. We don't believe there's such a thing as we're going to buy my way into the marketplace. We think all those are losing propositions. What I think what I would say is that it's easier in the sense that they're not some crazy deals being offered out there. When we look at it and say, if we're the biggest and we've got probably the best opportunity to monetize a podcast, if we don't think it's economic, how on earth is somebody smaller than us or less able to monetize, paying multiples of what we've offered. The good news along the way for us even in the past is many folks like NFL et cetera, are looking at creating a long-term sustainable podcast business. That means they're looking actually to building the biggest podcast they can, not necessarily getting a payment, which would compensate the group for not getting the best possible podcast built. And so, what's nice now is that I think people are not having to make that hard decision. And I think, look, there are some podcasters that if somebody pays them a crazy amount of money, they just say, look, if I have a choice of being building a big podcast or getting paid this check, I'll take the check. I think those are going away, and I think that's healthy because now it puts everybody on some level playing field, which is what are the economics podcasting, how many users are we going to get, how well can we monetize it.
Rich Bressler: And by the way, just to add one thing. I think it's probably taking the cost of a lot of other businesses, right. For all of us having following businesses. You get this initial rush and, as Bob said, you wind up with corner cases that are uneconomical. And if we can't make the money work, surprisingly everybody else can and I think we've used this before, I think general direction the belief is out there. We do 20 plus percent of the industry podcasting revenues and probably about 90% or so best we could tell of the profitability. And that's been, by the way, whether there were all the corner cases out there where people paying a lot of money or trying to put something behind the paywall. And we've continued to be steady in that. And I really would encourage everybody on the call. We've added a number of new slides this quarter to the investment deck of particularly in podcasting. And Bob touched upon this, I think a few different times in the script and when he responded to Jessica's question. But there is a slide there that just shows how comp – two things, how complementary our assets are. About 69% of podcasting listening is or is inside the home and 68% or so of radio listening is outside the home. Again that just factually shows you that. And then there is another interesting slide that shows it because we get this question all the time where a podcasting listening is coming from, and 70% is coming from social media. So you see that in Slide 14 in the deck. So I don't have to walk through all the slides, but it really is an enhanced deck based on all the questions that we've been getting and to give back to you what the actual facts are, not the speculation.
Dan Day: All right. Very thorough answer. Thanks guys.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley. Please go ahead.
Ben Swinburne: Thanks. Good morning guys. Couple questions. You guys have a fairly large digital business outside of podcasting, I think last year almost $700 million. I know there's a lot of sort of third party business inventory that you're selling and bundling with your other properties. Could you just talk about why that's a good business for iHeart? Is it allow you to maximize the value of your sales force, maybe helps to drive podcasting because I think a lot of that is selling other people's inventory, which is typically a lower margin business? So I was just curious if you could, comment on that. And then Rich on the cost side, the cash tax reduction is obviously significant this year. Is that timing or sort of permanent savings as we think about your free cash flow heading into the next couple years? I'm just wondering if maybe there's been a significant change in your cash tax outlook for the company. Thank you.
Bob Pittman: Well, let me start with the digital. Actually, we – the biggest areas we focus on are podcasting and our own streaming service, the iHeartRadio service. We've also used with Triton, been able to build out some marketplaces, which allow us to capture some additional revenue coming into that that world based on the strength of our own streaming service and our own podcasting business. And then we look at other businesses that we can either put on our platform and/or we can use our sales force for. And we've got the biggest sales force in audio by a lot. And that's one of our great assets. We have trained people to sell every seller to sell anything from anywhere, anytime. So that allows us geographically to be able to capture clients that are not necessarily in New York or LA which are the traditional hubs of advertising. And again, we – in looking at those, we’re pretty particular about the margins we get. As we said, we had a particular problem at the end of last year because we tried to get some incremental revenue on some products that were not as – didn’t have the – as good a margin as we normally have thinking it would be incremental to everything else we have. Instead, we found a little bit of float out of where we had higher margin business. So we made some corrections there and by Q2 that effect will be will be gone.
Rich Bressler: Yes. And on taxes, Ben, I’m not going to comment any detail, anything going forward. But we’ve done or comment on the details about tax planning initiatives. But I think the team has done a really nice job looking at all the tax initiatives and the opportunities that we have to maximize the value for shareholders. And that’s enabled us to reduce our overall cash taxes for this year quite significantly.
Ben Swinburne: Okay. Thank you.
Operator: Your next question comes from the line of Sebastiano Petti with JPMorgan. Please go ahead.
Sebastiano Petti: Hi. Thanks for taking the question. I just wanted to maybe follow-up on some of the digital, on Ben’s question there. But we talked about some of these social extension or other products that you’ve sold within the – that are still working their way through the system. We’re supposed to drag or weigh on digital margins, but margins didn’t seem to be all that bad in the Digital Audio Group. But conversely, on the broadcast side is the worst margins we’ve seen since 2Q 2020. So, I mean, what – can you unpack maybe what occurred there? The OpEx obviously up in the Multiplatform Group, but can you just give us a little bit of help on how we should perhaps think about the trend in Multiplatform Group in the context of your guidance for not only the second quarter, but just expectations for continued recovery there?
Rich Bressler: It’s Rich. Look, we expect to continue to make improvement in the Multiplatform Group. And just going back, as it had in terms of the challenges and the advertising environment that we’ve – I think all talked about and you’ve heard from many other companies out there. Multiplatform Group has been a little bit harder hit. It’s absolutely a higher fixed cost business that we talked about. And so when you look at the flow through, it gets hit higher on the flow through. We’ve announced a number of cost programs, the $250 million in total that we announced going before Q4 of 2022. We announced another $75 million in the fourth quarter of last year. And I think as you go into Q2 of this year, and I kind of gave you some sense how to think about overall revenues for the company. I think you’ll continue to look to see improvement in Multiplatform revenues, and I think you’ll see some significant improvement in flow through in Q2 also. And I’ll go back to one thing. I’ve said a couple different times, and I say on every call anytime you look at margins, it just gets greatly accentuated in Q1 because of the low [ph] or small numbers, which I know we all know and is probably, and I appreciate sometimes hard to accept. But if you look at our Q2 numbers versus Q2, excuse me, Q1 numbers versus Q2 and Q3, which are dramatically larger than Q1 historically, and roughly in that same size zip code, and then you go to Q4, which is dramatically bigger. So we just get hit very hard in Q1 on margins, particularly when you have down revenues.
Sebastiano Petti: Okay. And then with digital ex-podcasting, any help on sizing, obviously, your streaming product, can you perhaps unpack, the revenue contribution in the digital ex-podcasting? How should we think about the social extension versus perhaps some of the other maybe organic or for lack of a better term like the streaming product, because in terms of your guidance and the context of the mid-single digit, just trying to unpack, how we should be thinking about the trend through the year there? Thank you.
Bob Pittman: Well, we’ve got two things which we focus on obviously is our streaming service iHeartRadio which does very well. It’s the digital version of our radio stations and other products as well. We also have digital. We’ve used that strength and also our acquisition of Triton to build out some interesting audience networks and marketplaces as well. That continues to expand. And keep in mind we also have a big social footprint ourselves. We have about seven times a larger social footprint than the next largest audio player. And the ways we monetize that in addition to the social extension products that we have and others as well. And for us, look, we look at anything that sort of fits with the needs of our advertisers and that our sales force can bundle together with other things we’re selling and that we think gives us a good economics not just top line.
Sebastiano Petti: Thank you.
Operator: Your next question comes from the line of Jim Goss with Barrington Research. Please go ahead.
Jim Goss: Thanks, and good morning. Regarding your optimism about Multiplatform revenues rebounding, are you suggesting that the sluggishness and ad spending to this point has largely taken into account any recessionary risks or do you think if a recession were to occur given the relationship to GDP historically, that there could be a another downdraft?
Bob Pittman: Well, I’m not smart enough to be able to predict all the economic futures here. But I think what we’re seeing is certainly as it relates to Multiplatform Group and specifically as it relates to radio that we’re seeing much better relative performance in this downturn than we did the last. And I think that is again, probably linked to how we have changed how we are selling and presenting broadcast radio to make it look much more like a digital product that was really behind our acquisition of Triton. It’s why we built out that digital ad tech stack. We’ve been able to include broadcast in that we’ve been able to go to cohorts and audiences, with the loss of cookies and mobile ID. Digital is moving from one to one, and we think moving more to cohorts and audiences that people are targeting, tracking and looking for the attribution on that we can do with broadcasting. We’re not limited by the fact that we can’t do one-to-one with broadcasting as the marketplace changes. So I think that’s probably positive for us. And I think that relative performance differential between now and 2020 is tied to that.
Jim Goss: Okay. Thank you. And regarding reach, who’ve brought that up and one of the trades the Odyssey CMO was talking about reach and monetization that should be an opportunity, but that’s been around for a lot of years in terms of achieving a better monetization relative to your product. Are you thinking that what you were just describing is your means of maybe closing that gap right now that might be more successful than historically been?
Bob Pittman: I think you’ve hit it exactly right. I think that, look, the reach is what we’re selling. It’s why we’re there. It’s also, if you look at which we just recently, we’re running some numbers on. If you look at the overlap, a lot of digital overlaps. So whereas people thought they were adding one digital product to another digital product to another digital product to get more reach, it turns out they were just getting more frequency among the same people that radio does offer not only reach, but it’s unique reach that you can’t get with a lot of the other products in the marketplace. And – but I think the way in which the advertiser is buying those products is not like it was 20 years ago or 10 years ago. They’re not so much interested in buying spots as they are reaching audiences, and they’re expecting data and technology to help them. And over time they’re all building basically unified planning and buying systems at least the major agencies and I think other platforms emerging as well. And we have built our products so that we can be a part of those platforms. And I think that has some really long-term terrific benefits for us because if we can get an algorithm to start – doing the media mix as opposed to personal bias doing the media mix. We know we will do much better. I mean, Audio today is about, I think 31%, 32% of all media usage every day. By the way according to Nielsen, radio finally past TV in terms of usage in addition to reach. And so, the idea is how do we get at that in terms of full monetization? We’ve invested heavily in the tools. We’ve invested over the past five or six years of building out the infrastructure to do it. And I think, again, we’re beginning to see some of the positive benefits of that and coming out of any slowdown that should just accelerate.
Rich Bressler: By the way, just to come back and put a clarifying point, I would say, because you make the point about reach historically, I would say that two new data points that are there, one is the last point that Bob just said. When Nielsen came out and talked about reach over TV reach, I think that kind of like a moment that got marketers and advertisers to stand up and say, well, I hadn’t quite realized that. I think the other piece is, it’s only been within the last year or so in terms of our capabilities of a fully built out audio tech stack. Since we completed the acquisition of Triton, we always had the relationship with Triton, but now we have the relationship. So now we can – with dealing with advertisers plan with their campaigns, monitor their campaigns, and report on their campaigns just like the big digital players could do. And as Bob pointed out, not one to one, but one to inform many one to cohorts, which is the direction the industry is going in, as we all know. So those are two new different things that were not there before.
Jim Goss: All right. Well, thank you very much. Appreciate it.
Operator: Your next question comes from the line of Stephen Laszczyk with Goldman Sachs. Please go ahead.
Stephen Laszczyk: Hey, great. Good morning. Just on the expense structure maybe for Rich, you did a great job taking expenses out of the business over the course of the pandemic. But you mentioned some of the continued flexibility, you think that there still is in the cost structure. It seems like you still might want to play offense heading into the political cycle next year. But I was wondering if you could speak a little bit more about how much opportunity you think there might be to reduce expenses, if you entered a scenario where the macro or the ad market wasn’t showing signs of recovery over the longer term.
Rich Bressler: Well, thanks for the question. Look, you’ve heard us say this a little bit before. So it’ll be consistent. I think our job as a management team, starting with Bob and myself, is to constantly look for efficiencies in the company. And you mentioned the numbers during the pandemic and I’ll just repeat what I said earlier is that we took out $250 million as we went into Q4 2022 on an annual basis. We announced another $75 million of cost savings to be realized in 2023. Quite frankly, I think as you look at Q2 2022, to give everybody some comfort, additional comfort level, hopefully in our guidance, we expect about that $20 million of that $75 million you’ll see flow through in Q2 for the year. So again, back to my earlier point about when people were asking about margins, whether it’s Multiplatform margins or the Digital Audio Group margins why we have a high level of confidence with our revenue guidance to see additional flow through to that. And the last piece I would mention, although it doesn’t go under the word, expense from an accounting GAAP P&L standpoint, we’ve always talked about our ability to aggressively manage capital expenditures to the highest ROI, return on investment projects when there were kind of uncertain advertising economic environments. And I think with the guidance – the new guidance we gave today of $90 million a year in capital expenditures down from the $110 million to $120 million that we talked about going into the year and down from the $160 million or so that we’ve been spending the last couple years. I think again, all of that to me that reiterates what a great free cash flow company this is. And the structure enables us to generate a significant amount of free cash flow. And I think we pointed that out today with the numbers we gave you for the rest of the year, even in uncertain advertising environments and uncertain economic times. And I think Jessica started out as the first question, these are about the most uncertain times I think any of us have seen in a long period of time. And I don’t think Bob and I would with all the good news also we talked about that. I don’t think we would disagree with that. But it also shows you our ability and resiliency this company has to generate free cash flow even during this period of time.
Bob Pittman: Yes, I just want to add one thing, which is a little longer term. But we’re also looking as every company as and how we use AI. And I think AI can fundamentally change the operational cost structure of the company. And I think that’s the primary value for us. And it will turn employees from doing, lots of employees doing rote [ph] work to our employees, doing more of editing and more of the higher level work, which I think one will make their jobs more enjoyable. I think we’ll do stuff faster and our cost will be lower. So I’m in the boat. I think Rich and I both are of thinking that AI is going to be a major productivity enhancer for American business and we fully intend to use it to its fullest.
Stephen Laszczyk: Great, thanks for that. And then maybe just one more on capital allocation if I could even fairly active in buying back your own debt the last few quarters, $20 million this past quarter. I was curious if maybe you could speak to the opportunity or what conditions you might be looking for to ramp on repurchases, just given how accretive it is and the trajectory of your cash flows later this year?
Rich Bressler: Look, we are and I think have demonstrated not just in words. We are continue to aggressively look to improve our overall capital structure, aggressively look to improve our cost to capital. We’ve got, nothing’s changed, Bob used the word long term in terms of AI, long terms – in terms of our leverage ratio. The company’s target is still to get [indiscernible] leverage ratio, which I think in a the leverage capital structure that we have, taking that free cash flow paying down debt, which gives the highest return to our shareholders is a great way to return equity value to our shareholders. And we’ll continue to look to improve the capital structure along those ways, which again, which is why it’s so important. And we’re laser focused on the generation of free cash flow.
Stephen Laszczyk: Okay. Thank you.
Rich Bressler: Bob and I and the rest of the team would like to thank everybody and we are here and available for more questions. But thank you all.
Operator: This concludes today’s conference call. You may now disconnect your lines.